Operator: Greetings, and welcome to the Centrus Energy Third Quarter 2023 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Leistikow, Vice President, Corporate Communications. Thank you, Dan. You may begin.
Dan Leistikow: Good morning. Thank you all for joining us. Today's call will cover the results for the third quarter of 2023 ended September 30. Today, we have Dan Poneman, President and Chief Executive Officer; and Kevin Harrill, Chief Financial Officer. Before turning the call over to Dan Poneman, I'd like to welcome all of our callers as well as those listening to our webcast. This conference follows our earnings news release yesterday. We expect to file our report for the third quarter of 2023 on Form 10-Q later today. All of our news releases and SEC filings, including our 10-K, 10-Qs and 8-Ks, are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain information we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, November 8, 2023, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation. And I'll now turn the call over to Dan Poneman.
Daniel Poneman: Thank you, Dan, and thank you to everyone on the call today. This was another great quarter for Centrus. While we always remind investors that our business runs on a year-to-year basis, not fairly represented by quarterly results, we were nevertheless pleased to deliver $8.2 million in profit to our shareholders this quarter. This time, the big news, however, is measured neither on a quarterly, not even on an annual basis, but rather on a scale of threescore-and-ten. Why so? Because a few weeks ago, Centrus inaugurated the first new U.S.-owned U.S. technology uranium enrichment plant to start production in nearly 70 years. As we speak, Centrus is now producing High-Assay, Low-Enriched Uranium or HALEU right here in the United States, in Piketon, Ohio to be specific using parts, we manufactured in Oak Ridge, Tennessee, with an American workforce, rebuilding America's domestic nuclear supply chain. That is a historic accomplishment. Last month, we were pleased to host so many people who care about America's energy future and national security who came to Piketon to participate in the launch of this 16-centrifuge demonstration cascade. Our speakers included leaders from government, labor and industry, Senators Sherrod Brown and Rob Portman, Congressman Chuck Fleischmann, Deputy Secretary of Energy, David Turk, DOE Assistant Secretary for Nuclear Energy, Katy Huff, North America's Building Trades Union's President, Sean McGarvey, National Association of Manufacturers President and CEO, Jay Timmons and Pike County Commissioner, Tony Montgomery.  Representatives from advanced reactor companies, utilities, nongovernmental organizations and local community organizations all participated. So did our brothers and sisters from the United Steelworkers, International Brotherhood of Electrical Workers, the buildings trades and the pipe-fitters, all came to witness America taking an essential step to restoring the global leadership in nuclear fuels that we once enjoyed and should never have lost. Building on that momentum, Centrus now has completed production of the first 20 kilograms of HALEU. That means that we have demonstrated that our technology works and that we have completed Phase 1 of the contract we signed with the department in 2022. Notably, we did so under budget and nearly 2 months ahead of schedule, a rarity for a first-of-a-kind project in the nuclear arena and a testament to the team's extraordinary work. In Phase 2 of the operations contract, we are required to produce 900 kilograms of HALEU for the department over the next 12 months. Under the contract, the Department of Energy is obligated to provide the HALEU storage cylinders necessary to collect the output of the cascade. Centrus will fill the department cylinders with HALEU and deliver that material to a secure fissile material storage area we've built. Shareholders may recall that Phase 1 of the contract required a 50-50 cost share with the Department of Energy. In Phase 2, DOE will pay the full cost of production plus an incentive fee, and the department will receive the output of the cascade. In Phase 3, subject to the availability of appropriated funds, the department has the option to grant up to 3, 3-year extensions. If combined with Phase 2, that could add up to 10 years of production overall on a cost plus incentive fee basis. While this contract is critical in demonstrating the viability of our technology and providing up to 9,000 kilograms of HALEU to the Department of Energy to support the developing advanced reactor market, what's even more important is that it establishes a strong foundation to build more machines and expand production to address any level of demand for a secure domestic source of both HALEU and low-enriched uranium or LEU. The way Americans think about supply chains and domestic resilience in the face of critical challenges has shifted dramatically over the past few years. The supply chain bottlenecks uncovered by the COVID pandemic, followed by the crisis facing the U.S. semiconductor industry and finally, the invasion of Ukraine made Americans realize ever more clearly the importance of ensuring that we have a robust domestic supply chain for commodities that are vital to our national security and economic well-being.  It has become as clear as day that it is foolish to rely exclusively on foreign state-owned enterprises for such things as in this case, the nuclear fuel that powers 1/5 of our nation's electrical grid and provides nearly half of our carbon-free electricity. But through a series of missteps and misfortunes, that is exactly what happened.  In the commercial market for LEU, 100% of the world's uranium enrichment capacity now belongs to foreign state-owned enterprises. According to the latest figures from the World Nuclear Association, Russia alone holds 44% of the world uranium enrichment capacity. There is simply not enough non-Russian enrichment to fuel the world's reactors. Adding in China, those 2 suppliers account for more than half of global capacity. As end users look to secure long-term contracts for fuel from suppliers outside of Russia or China, their options are limited. To transition the United States, Europe and other friendly countries around the world away from dependence on Russia, the market will need more supply and more suppliers to provide secure, diversified sources of fuel for their reactor fleet. We believe that Centrus as America's uranium enrichment company is well suited to help fill the gap and bring greater supply diversity to the marketplace for LEU as well as HALEU. While LEU is essential to fuel the 93 reactors already operating in the United States, HALEU is the fuel of choice for most of the advanced reactor designs now under development.  And Centrus currently has the only Nuclear Regulatory Commission license to produce HALEU in the United States. In fact, until last month, Russia was the only commercial HALEU producer in the world. Having our demonstration cascade up and running gives us a critical beachhead as we look to build a scaled-up facility able to satisfy HALEU demand as it develops in the next few years. We will continue to advance our technology, train our workforce, maintain our NRC license and expand our capabilities, all of which will support our commercial expansion in the years ahead. A commercial-scale cascade with 120 centrifuges can produce about 6 metric tons of HALEU per year. With adequate funding and support, we have the capability to bring in initial commercial scale cascade online within 42 months.  Having built out that supply chain, Centrus could then add a second HALEU cascade 6 months later, and then bring all subsequent cascade online every 2 months thereafter, once we have built out that supply chain and leverage the learning and improvements we make every time we build a new cascade. That is how American industry has always driven efficiency. We have the technology, the license, the site, the space, the skills and the ability to do this. Having a passionate and experienced workforce is essential. Now we are looking for the investment and the firm orders needed to unleash these capabilities and restore a domestic uranium enrichment capability at industrial scale. Of course, it is never easy to reestablish a lost industrial capability in a strategic sector completely controlled by foreign state-owned enterprises. So success will depend on government investment as well as private capital. That is why the emerging consensus around the need for significant government investment on both sides of the aisle and at both ends of Pennsylvania Avenue is so encouraging. But government needs to know that the private sector is also prepared to step up and do its part, and we are. Reactor developers that will need significant amounts of HALEU for their projects that are expected to come online in the next few years are beginning the process of securing the source of that HALEU sooner rather than later. There's perhaps no better illustration of this urgency than the memorandum of understanding that we signed during the third quarter with 2 leading advanced reactor developers TerraPower and Oklo. Under these MOUs, we intend to work toward definitive agreements that would help establish a cost competitive and timely source of enrichment capacity for TerraPower's Natrium demonstration reactor ahead of its 2030 operations date, and that would help Oklo not only fuel their Aurora powerhouses, but also manufacture reactor components and potentially provide fuel fabrication services as well.  These efforts would leverage our facilities and technical capabilities in Piketon as well as our advanced manufacturing facility in Oak Ridge, Tennessee. So this is a moment of promise and hope for the industry and for the nation and we look forward to building on recent successes to create a more secure and prosperous energy future. With that, I'm very pleased to turn it over to Kevin Harrill, who recently transitioned as the company's Chief Accounting Officer to our new Chief Financial Officer. Kevin?
Kevin Harrill: Thank you, Dan. Good morning, everyone. It's great to be speaking with you. As Dan just reminded us, our financial results vary from quarter-to-quarter based upon timing of contracted deliveries. Most of our LEU contracts are multiyear arrangements in which customers have annual purchase obligations, but can choose which quarter to take delivery. We book the revenue and cost of sales in the quarter when deliveries are made, which can vary throughout the year, but tends to even out on an annual basis. For the third quarter, we recognized total revenue of $51.3 million, which was an increase from $33.2 million in the same quarter last year. At the segment level, the LEU business had revenue of $40.5 million on cost of sales of $30.4 million, earning a gross profit of $10.1 million for the segment. Our Technical Solutions segment, which includes our HALEU contract with the DOE, generated $10.8 million of revenue on cost of sales of $9.6 million, for a segment profit of approximately $1.2 million. As Dan mentioned, we achieved $8.2 million in net income for the quarter compared to a loss in the prior year of $6.1 million. At quarter end, we had $183.3 million of cash on our balance sheet, providing us with liquidity to invest strategically in our future and manage our working capital obligations. Our LEU order book remains strong with backlog of approximately $1 billion through 2030. Our Technical Solutions segment, which, as I mentioned, includes our HALEU contract, represents additional revenue and earnings upside as we look ahead. Lastly, we recently took a crucial step to derisk and strengthen our balance sheet. On October 12, the company reached an agreement to purchase a group annuity contract that will cover approximately 1,400 retirees and settles more than 40% of our outstanding pension liabilities. The annuity contract will fulfill the plan's commitment, but is anticipated to reduce ongoing future costs for Centrus. The annuity contract transfers $186.5 million in liabilities in exchange for $171.4 million of plan assets to the new insurer. As a result of this transaction, we expect to recognize a gain of approximately $15.1 million in our income statement for the fourth quarter, dependent upon the final settlement and pricing of the annuity transaction. We reduce our risk, lower our administrative expenses and strengthen our balance sheet, while continuing to honor our commitments to retirees. More broadly, this is yet another milestone in strengthening our financial position over the last several years. At the beginning of 2015, shortly before Dan took over as CEO, the company had $179.3 million in unfunded pension liability from our legacy business. As of September 30, 2023, we estimate that our 2023 unmeasured net pension obligation would be approximately $42.2 million. This would represent a reduction of more than 75%. To further emphasize this point, at the beginning of 2015, our net pension liability was more than 4x greater than our market cap. As of September 30, the liability was down to approximately 5% of our market cap, and that's before the annuity purchase in October, which will reduce it even further. With that, let me turn things back over to Dan.
Daniel Poneman: Thank you, Kevin. This has indeed been a momentous year for nuclear energy. And as we turn the corner and head into 2024, we're more excited than ever about the trends we're seeing, not only in technology and government, but also in the investment community. Growing investor interest in sustainability and in creating significant new employment opportunities in clean energy is finding its way to the nuclear sector, and will contribute to better capitalized companies across the nuclear energy value chain. We are proud to have long-standing partnerships with reactor developers and utilities, and are building new relationships with a growing number of data centers and industrial companies that need to obtain vastly increasing amounts of clean and reliable energy to generate electricity and drive industrial processes. At every level of government and across academia and nongovernmental organizations, we see increasing levels of institutional support for the reemergence of the American nuclear industry to support our national energy, climate and national security objectives. The efforts of many different companies from component manufacturers and developers, to utilities and the investors financing these projects are establishing the foundation and ecosystem for a thriving advanced nuclear industry, where Centrus can play a pivotal role. While no one can say with certainty which nuclear reactor technologies will end up being deployed at greater scale, Centrus stands ready to supply all of them as they come to market. As we consistently emphasized, this tremendous investor support will require further public private partnership. Recent developments prove that both the administration and Congress agree with that.  Just last month, the House of Representatives included a $2.4 billion investment in domestic uranium enrichment as part of the Energy and Water Appropriations bill, and the White House included $2.2 billion for enrichment in its most recent supplemental funding request. And over the summer, the Senate voted 96 to 3 to authorize a major nuclear fuel security program. The Senate also included enrichment funding as a priority in their energy and water appropriations bill.  All of us can be encouraged by the bipartisan support and momentum behind these proposals, and hope that Congress and the administration will move quickly to get them over the finish line. Of course, none of this would be possible without our amazing employees and without our investors who are supporting us in this important work. Sincere thanks to each and every one of you. Finally, I'd like to offer heartfelt thanks to all of our veterans who courageously served to protect the great way of life in our United States. We have come a long way in the last few years, but I truly believe the best is yet to come. And with that, we'll take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Rob Brown with Lake Street Capital.
Robert Brown: You gave a good overview of some of the activities happening for support in the various government bodies. But I just want to get a sense of how soon those things need to happen for you to kind of continue your work. Or are you -- do you have the pieces in place to kind of continue to produce HALEU until those other pieces kind of come in, in terms of getting supply going?
Daniel Poneman: Great question, as always. So we have the resources we need to continue under the top contract, right? Which is the -- and we're very excited, as I'm sure you saw yesterday, we finished Phase 1. We delivered 20 kilograms promised to the Department of Energy.  Now we will be moving over to Phase 2. That's 900 kilograms in the coming year, and we have no reason to doubt that there will be continuing funding for that, even under the continuing resolutions that were passed being negotiated earlier, we had what they call anomalies to support that continued funding stream because everybody, both sides of the aisle, realize that's important. The larger question, obviously, implicit in your question is what happens to all these requests? It's really quite astonishing when you look back in recent years. It had seen that there was a certain reluctance or a lack of focus, I don't know how to describe it, but it doesn't matter because it's over.  You have the House of Representatives, I believe, literally the first bill they passed under the new speaker was the Energy and Water Appropriations which, as I'm sure you know, contains $2.4 billion for enrichment over 3 years. You had the President submitting a request to the Congress for $2.2 billion to support enrichment in his latest supplemental request. You already had, had at the committee level on the Senate side, $800 million in that market. So these are really strong indications that I think the money is going to be forthcoming. Now the timing, obviously, it's a very unusual time in the U.S. Congress. There are a number of things that could or could not happen in terms of continuing resolutions, supplemental appropriations getting passed, full bills and so forth. Obviously, we're working every angle and we're following it all closely. But I would say the supplemental is a real opportunity to see important resources move and as is the real budgeting process. When those happen I think is a much larger question than any one executive could answer. But when it does happen, that money would be signed by the President through appropriations, go to DOE and then go out through the typical, I presume, through the typical request for proposal process. So that I figure would be some number of months. But in the meantime, we are continuing, Rob, to engage with investors and so forth to look at ways to raise the capital to expand our plant.
Robert Brown: Okay. And then on the MOUs with TerraPower and Oklo, what are the sort of next steps there in terms of what they need? And do you have sort of the capacity in place to fulfill their needs at this point, with that initial DOE demonstration? Or would you need to kind of scale that to meet their needs by 2030? I know that's a few years away, but just want to get a sense of how that lays out.
Daniel Poneman: Yes, I'll answer your second question first, we would need to scale up, right? And I won't say -- not appropriate to say exactly who needs what quantities. But we will be -- 2 points if I may.  We will be making 900 kilograms per year, and I think every ambition out there would suggest that there's going to need to be a lot more. I mean the DOE itself has put out a number of seeking on the order of 25 metric tons a year. So I don't think anyone thinks this one cascade is enough. The second thing is, as I'm sure you know, the output of the cascade is the property of the U.S. Department of Energy. So it will be up to them to decide who among many aspirants would be getting the output from our initial demonstration cascade. In terms of what's going on, we have very active and robust dialogue going on with both Oklo and TerraPower, and, in fact, with other companies as well, as you might imagine, that are not at the same level of maturity perhaps, and very earnest discussions talking about rate and pace and quantity of requirements and what it's going to take in terms of investment to get there. And of course, everybody is looking at a combination of both public and private sources.
Robert Brown: Great. Congrats on all the projects.
Daniel Poneman: Thanks. Thank you, Rob.
Operator: Our next question comes from the line of Joseph Reagor with ROTH.
Joseph Reagor: So I guess, first thing, and I'm sure this would be in the queue, but just for clarity today, the tax gain in the quarter, what was the driver there?
Daniel Poneman: Yes. I'll turn that one over to Kevin.
Kevin Harrill: Yes. Thanks for the question, Joe. It was -- as we have a normal process that we go through on a quarterly basis to reevaluate our forecast and the individual drivers underneath that, which includes pricing from market-backed metrics.  And so as we went through there and reviewed the published indices, we had noted we had a reduction in the costs, which prompted us to have increased income in the next few years, which resulted in the release of the tax and so that was the main driver of what transpired. So we'll continue to reevaluate that on a quarterly basis and may have updates in the future as we continue to evaluate that, especially at year-end.
Joseph Reagor: Okay. That's helpful. And then as you guys ramp up HALEU production, since this isn't exactly the most common ramp-up out there, what are the challenges, bottlenecks, things like that, that you guys might face? Or is it just as simple as you have it up and running and now it will run? And any thoughts on potential impact of rising uranium prices on the HALEU facility.
Daniel Poneman: Yes. Okay, another great question. So let me break it into pieces. So I'll start with what we have. We've got a site, we've got a license, we've got not only a talented but fairly dedicated workforce. We have a technology. It has been known, but now it's openly to the world, demonstrated it's functioning. We're producing HALEU today, right? So all of that is there. The key issue in scaling up, of course, is going to be supply chain, right? We have decades of experience working with a series of suppliers. We've actually changed our philosophy from the earlier phase of, students of history will remember our big project a dozen years ago, we had literally hundreds of suppliers.  We've now turned for a lot of reasons, efficiency and, frankly, our own internal capabilities to source increasing amounts of the parts of the machines to our own technical manufacturing facility center in Oak Ridge, Tennessee. And so I think we've got a much smarter supply chain that we're building out, but we're going to need to build that thing out.  And of course, in a market in which the zeitgeist for nuclear continues to be very bullish, it's a very competitive market out there. We are incredibly proud of the talented personnel that we've got. But if we have the good fortune to build out at the rate that I think people who care about climate change and national security wish, it's going to be a challenge to continue to recruit, retain that kind of human talent, which is so important to these facilities. So if we're very, very successful we're going to be working -- and I'm optimistic about it, but you ask where the pinch points could come, we're going to have to really focus on developing the talent to be there when we need them. In terms of your other question, on uranium prices, there, of course, is a correlation there and not least of which is the fact that as most of you know, the feedstock for High-Assay Low-Enriched Uranium is Low Enriched Uranium.  And what has happened in the last couple of years and the prices of Low Enriched Uranium tells you that that's all going north, right? And it's going north in every phase, because the increased demand for enrichment that's not of Russian origin has driven up separate work unit prices.  You have overall bullishness in the uranium market, which has driven up natural uranium prices. And as people are trying to shove more uranium through more centrifuge machines, they need to turn more of that into uranium hexafluoride gas. So you have a big spike in the conversion market.  So all those inputs are going higher. And so there is a sort of a rationing effect that you see. And that's why you've seen, I think, bullishness in these prices. And I think you'll continue to see some general correlation. There's always a toggling factor, last thing I'll say, between the various costs of the inputs. And so when SEU prices got to be very, very low, you tried to use as much SEU as possible, it went to a lot of under-feeding. Now, and there's concern going in the other direction, they're going into overfeeding, but when you go into overfeeding, that puts pressure on conversion.  So it's a big kind of daily change. So you're going to always see some toggling between the values of the natural uranium fee, the conversion price, enrichment prices and the input prices to that such as electricity rates.
Operator: Our next question comes from the line of Alex Rygiel with B. Riley Securities.
Alexander Rygiel: Dan, a lot of great information there, and a very nice quarter. So thank you. Just to better understand the transition to Phase 2, can you talk about, number one, what approvals or direction you need from the DOE to transition into Phase 2 and when that might start?
Daniel Poneman: Yes. We finished Phase 1, we made the delivery just yesterday, and we are expecting to move very smoothly in communications with DOE into Phase 2. But I don't know if Kevin wants to offer anything more technical than that?
Kevin Harrill: I don't think I would add anything outside of the fact that with our completion of Phase 1, we're moving into Phase 2. And from a regulatory perspective, we're evaluating what the possession limits are to ensure that we're in compliance with those and we'll continue to work with the relevant organizations to make sure that we're aligned.
Alexander Rygiel: That's super helpful. And then as it relates to SEU, what's your visibility on the fourth quarter here now that we're 5 or 6 weeks into the fourth quarter? And how do you see delivery of SEU units developing in this fourth quarter and into 2024?
Daniel Poneman: Kevin?
Kevin Harrill: Yes, I'll probably feel that. So Alex, like a lot of companies, we don't provide forward guidance. I know we're into the quarter, but as we've noted in recent years, our revenues can vary significantly from quarter-to-quarter, depending on timing. So we're working diligently to ensure that we're delivering for the fourth quarter and think we will continue the process of ensuring that we have strong results for the annual cycle.
Alexander Rygiel: Excellent. And then, Dan, maybe you could just touch upon the pipeline of additional opportunities or MOUs, like TerraPower and Oklo?
Daniel Poneman: Yes. Well, again, a lot of these are still under confidentiality. But I would just say, basically, if you look at the terrain out there, Alex, 9 of the 10 advanced reactor development program winners in the DOE program require High-Assay Low-Enriched Uranium fuel. We -- obviously, our desire is to supply everyone, right? And there are those who are not in that program, who are also candidates as well, and that, for example, includes Oklo, which has done a lot of exciting work and back on the NRC regulatory process. And I think you can't forget the fact there's a quite robust set of activities going over in the Department of Defense with the Project Pele and so forth and increasing interest for energy resilience requirements of our military bases and so forth that will need reliable power that you do not want to be vulnerable to disruption and so forth.  There's been a lot of ferment in a good way about the possibility of deployment of small and micronuclear reactors in that direction. We are monitoring each and all of these sources. And of course, there are international opportunities as well, and you've started to see important marketing of advanced reactors happening internationally.  I might note the X-energy deal that's going on with OPG. There's a lot of interest in Canada in small and even micro reactors for the very remote communities that are now isolated and dependent on diesel or for the oil sands we're trying to have very ambitious decarbonization targets, which will be assisted in being met if they can at least use nuclear power and not diesel, for example, to develop the oil sands up there. So we're looking everywhere and very excited. If you look at the, last thing I'll say, just kind of the macro terms, the DOE Commercial Liftoff report came out in March called for a very large increment, like 700 gigawatts of new electricity generation, to meet our net zero targets just in this country, of which about 200 gigawatts they expect to come from nuclear. That's a lot of reactors, right? And so we're very bullish on this. And I keep saying the last thing, but perhaps the last, last thing is what you're seeing now also, and this is very important, is new sources of demand for completely reliable carbon-free electricity. This is like large data centers, I'm sure you've seen a lot of discussion among various massive companies that are out there, which have effectively insatiable requirements in that direction as well as industrial processes. And of course, to decarbonize and meet our net zero targets, only 27% of the greenhouse gas has come from power generation. We're going to have to get over the 30% or so decarbonized out industrial processes, and that's where these Gen 4 reactors with their high output heat, like X-energy with Dow Chemical are so helpful. So I'm very bullish that the market out there could develop in a very robust way.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Dan Leistikow for closing comments.
Dan Leistikow: Thank you, operator. That will conclude our call. Thanks as always to our investors who joined online and by phone today. We'll talk to you again next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.